Operator: Welcome to the Fourth Quarter and full year 2019 Financial Results and Business Update Conference Call for Yield10 Bioscience. During the call, participants will be in a listen-only mode. The presenters will address questions from analysts today. [Operator Instructions] As a reminder, this conference call is being recorded. I'd now like to turn the conference over to your host, Yield10 Vice President of Planning and Corporate Communications, Lynne Brum.
Lynne Brum: Thank you, Devin, and good afternoon, everyone and welcome to Yield10 Bioscience fourth quarter and full year 2019 conference call. Joining me on the call today are President and CEO, Dr. Oli Peoples; Vice President of Research and Chief Science Officer, Dr. Kristi Snell; and Chief Accounting Officer, Chuck Haaser. Earlier this afternoon, Yield10 released our 2019 field test results as well as our 2019 financial results. This releases as well as slides that accompany today's presentation today are available on the Investor Relations Event section of our website at yield10bio.com. Let's turn to slide two. Please note that as part of our discussion today, management will be making forward-looking statements. These statements are not guarantees of future performance, and therefore, you should not place undue reliance on them. Investors are also cautioned that statements that are not strictly historical constitute forward-looking statements. Such forward-looking statements are subject to a number of risks and uncertainties that could cause the actual results to differ materially from those anticipated. These risks include risks and uncertainties detailed in Yield10's filings with the SEC. The company undertakes no obligation to update any forward-looking statements in order to reflect events or circumstances that may arise after the date of this conference call. Now I'll turn the call over to Oli.
Oliver Peoples: Thanks, Lynne. Good afternoon, everyone, and thanks for joining our call. Today, I'll provide an overview of Yield10, provide an update and the review of recent accomplishments. Kristi will present a summary of the results and our 2019 field test and an update on the recent R&D activities after which I will review the financials and summarize our key milestones for 2020 before opening the call to questions. I'd like to start on to Slide 3, our business profile. Yield10 is an agricultural bioscience company focused on developing performance traits for major food and feed crops and building a path to specialty crop product revenue based on our Camelina oil seed platform. Since we became Yield10 in January 2017, we've delivered a number of technology proof points, expanded our IP position, established relationships with three major seed players and have a number of additional milestones coming up this year, with the strong leadership team in operations in Woburn, Massachusetts and Saskatoon, Canada. Now let's start on to Slide 4 and the summary of recent key accomplishments. 2019 and early 2020 we've made considerable progress executing against our business strategy and I'll now highlight some of them. We expanded our agreement with Bayer for an improved version of C-3000 yield and we signed a new research agreement with Simplot the best trades for C-3003 and C-3004 in potato. We also launched the program for progressively lead deal traits in corn. We reached $12.8 million in net proceeds based on two fundraising events, $2.6 million in March and $10.2 million in November. We progressed our lead phase by generating additional data in greenhouse and growth chamber studies and by executing a series of field trials in Camelina and canola. Moving forward into 2020 we are delighted that Dr. Brown [ph] former Monsanto executive joined our Board of Directors and look forward to generating additional proof points forming alliances and further progressing our business plan for Camelina based products. Now let's turn to Slide 5, our business strategy and past revenue. Yield10's Trait Factory is made up of the Grain Gene Discovery platform followed by genetic modifications of the trait gene targets in Camelina and Fast Field Testing to generate performance data. This enables us to establish research license agreements with major seed companies and to improve Camelina as a crop for producing specialty products. We currently have three distinct revenue opportunities from the Trait Factory. R&D, fee for service revenue or access to our grain platform. Additional targets crops or products Yield10 is not directly pursuing and second is licensing of our yield and performance traits for use in major row crops; corn, soybean, canola and other crops creating option value for our traits in the most important global food and feed crops and through e-product sales based on our Camelina platform for producing nutritional oils in the near-term and PHA biomaterials in the future. Now to Slight 6 we'll review the traits. We currently have a strong pipeline of novel traits within six which have for the rest of the field testing stage by Yield10 and eight new early-stage yield and oil content traits identified by our grain platform. Our C3003, C3004, C3011 seed traits could be broadly applicable to major North American crops including canola, soybean and corn, which accounted for 200 million acres harvested annually. There is another 200 million acres of potential in South America. The C4000 series of traits are based on plan gene regulators in a model crop we've seen significant increases in photosynthesis biomass yield with these genes. We're deploying these traits in Camelina and corn. Kristi will describe her progress with phase two increase seed oil content the primary driver of value in oilseed crops. These traits could improve the volume of Camelina and be useful in canola and soybean. I'll discuss the Camelina opportunity to produce nutritional oils and PHA biomaterials later in this presentation. In 2020 our R&D resources are focused on progressing our phase developments in Camelina and the generating additional proof points across our portfolio of traits. Moving now on to Slide 7 and the review of trait progression and major crops at our partner activities. We're working through research license agreements with Ag Majors who are using their resources and delete germplasm to accelerate the development of our traits and commodity crops. Bayer is working with C3003 and our latest technology for C3004 to soybean. Forage Genetics is working with several of our traits in sorghum and last year we signed a research agreement with Simplot for the evaluation of traits including C3003 and C3004 in potato. Employment and testing of our traits and major crops takes more time than in Camelina, but we are very pleased with the progress each company is making. As our partners develop field data we expect to enter commercial license agreements which would be expected to include upfront fees when executed minimum milestone payments and royalties from commercial sales. In early 2019 we contracted a major Ag player to deploy several of our traits in corn and the first phase of this work is now complete. We recently signed an agreement with a third party for the next phase of development. Using this approach Yield10 is leveraging third-party resources to create option value for our traits in the most important global crops. I'll now hand the call over to Kristi.
Kristi Snell: Thanks Oli and hello everyone. Today I'll provide an update on our recent R&D activity. Our grain platform is productive and as a result we currently have a pipeline of approximately 15 novel traits and most of these are applicable to multiple crops. Today, I'll focus on our progress with you. Let's now turn to Slide 8. In 2019 field test, our primary objective was to continue to generate agronomic seed yield and oil content data for our traits in Camelina and canola. We field tested for the first time [indiscernible] Camelina plant having combinations with three gene; C3008a, C3008b and C3009. Yield10 previously received confirmation in 2018 that USDA does not consider these lines to be regulated pursuant to seven 7 CRF part 340. The best genome edited Camelina plants exhibited good agronomics including germination and establishment and seed formation and our best performing edited line which we have designated line E3902 we observe statistically significant increases of 11.8% in oil per individual seed and 8.7% increase in individual seed weight and a 4.7% increase in seed oil content as a percentage of bulk seed weight. The oil position remained unchanged. We plan to continue testing line E3902 in 2020 at sites in the US to generate additional performance data and the bulk up seed in preparation for larger 2021 field trials. In the Canadian trials our team ran extensive field test with C3003 and C3004 under very challenging weather conditions where severe drought caused variability, complicating analysis of our data. Despite these conditions we continue to be encouraged by the activity of the traits in these field tests. In 2019 in Canada we tested for the first time the C3004 traits in Camelina which is believed to impact Carbon partitioning to seed. For prior greenhouse studies reported in 2018 as well as additional 2019 greenhouse studies the expression of C3004 in Camelina produced increased branching and significant increases in seed yield. During the 2019 trial yield and weather conditions that are sites in Canada posed challenge with extreme drought conditions. While there were clear indications that the C3004 plants produce more seeds than wild type Camelina controls substantial variability among the test blocks under these severe conditions complicated the collection of statistically significant seed yield data. Importantly photosynthetic measurements performed in the field showed significant increases in key photosynthetic parameters suggesting that the activity and expression of the C3004 traits can boost photosynthetic efficiency in Camelina. We continue to be encouraged by the results we are observing with C3004 and plan more extensive field test for this trade in Camelina in 2020. We are increasing the emphasis on C3004 because it is Camelina gene and we may be able to develop C3004 Camelina lines that USDA does not consider to be regulated pursuant to the seven 7 CRF part 340 accelerating commercial development. We also tested C3003 in canola at sites in Canada. In 2018 growing season, our field testing in canola suggested that C3003 can increase in seed yield by more than 10%. In 2019 trials we faced the same challenges with our C3003 field test that I just described for C3004. In addition to our fieldwork with C3003 canola, in 2019 we engineered approximately 15 additional commercial quality canola lines for C3003 that can be craft into multiple elite gene plasms of canola. In 2020 we plan to conduct seed bulk up for these new C3003 line in canola to generate field grown seed for future field test and to support development of the trait for license. Although conditions in the 2019 season were very challenging at many of our field sites the key takeaways from the season are as follows. One data from our 2019 field test suggest that our novel genome edited trait targeting oil biosynthesis boost seed oil content in Camelina, We will be bulking up seed for line E3902 in the field in 2020 for larger scale field trials in 2021. At this stage of development line E3902 may be on the path to becoming Yield10's first commercial Camelina variety. And two observations of C3004 Camelina plants in the field suggest these plants are making more seed in agreement with our prior greenhouse studies. Additional measurements in our field studies showed that the activity and expression of trait C3004 can boost photosynthetic efficiency in Camelina. We plan to develop a version of the C3004 trait in Catalina and potentially will not be considered regulated by USDA pursuant to 7 CRF part 340. Let's now turn the Slide 9, which outlines our R&D progress and plans for 2020 trait development. Our R&D team is focused on continuing to innovate to bring forward novel performance trait, evaluate our traits in the greenhouse to generate proof points and to file IP and our discoveries and field testing. In 2019 we identified and began the evaluation of eight new traits to increase seed yields and/or oil content in Camelina using our grain platform. Work to investigate some of these traits in Camelina is ongoing and supported in part by DOE [ph] grant the Michigan State University with Yield10 as a subcontractor. Permitting is currently underway for our 2020 field test program in the US and Canada. We plan to test C3004 to the C3007 CRISPR edited line and CRISPR triple edited line E3902 and our PHP traits in Camelina at sites in the US and Canada. We will also be bulking up seed from the CRISPR triple edited line E3902 in the field in 2020 for larger scale field trials in 2021. In Canola we will perform seed bulk up for the C3004 as well as for the approximately 15 new C3003 commercial quality events at sites in Canada. Overall this will be an extensive field test program. The data from this program will help us generate proof points to advance our work in Catalina and to provide licensing opportunities in canola and other major crops. Let's now turn to Slide 10. Camelina is an attractive choice to meet the growing demand for crops that diversify the crop landscape, have lower environmental footprints and have the potential to produce high value secondary products to open new opportunities for farmers. It's fast growth cycle is particularly attractive in areas in the Northwest US and Canada and have shorter growing season and it is naturally resistant to diseases that impact canola. Camelina oil is rich in omega-3 fatty acid ALA which is creating demand for the oil and human nutrition and as a substitute for fish oil and aquaculture. It is readily engineered using genetic engineering tools and can be segregated from the major row crop making it an ideal platform for producing novel crops like PHA biomaterials. Camelina has a high technology upside potential for improved agronomic, seed yield and feed value since variable breeding or genetic improvements have been made to the crop. Yield10 has been working with Camelina since 2010 and currently uses this as our fast yield testing platform. We have enhanced several proof points based on our work which illustrates a high upside potential of the crop. This includes work with our C3003, C3004 and C3006 yield traits as well as our seed oil content traits including Camelina line E3902. We believe it may be possible to double Camelina seed yield based on some of the trait proof points that we have achieved to date in greenhouse studies. Our goal is to develop the Camelina business to generate direct revenue from product sales in addition to revenue from licensing and R&D services. We see many more partner prospects along the value chain with the Camelina product opportunity compared to the small handful of very large players who control the commodity seed sector. Yield10 has made important strides in the discovery and development of novel crop traits since we started just three years ago. For our traits in field testing, our team really stepped up to work through the weather challenges of the 2019 field test and conducting the permitting and logistics for our 2020 field test program. In 2020, our team is focused on generating technology proof points for our lead traits and planning the next steps in the development of the trait. I would like to thank our R&D team for their tremendous efforts to move forward to their continued productivity. Oli back to you.
Oliver Peoples: Thanks Kristi and to the entire R&D team; impression, dedication and ingenuity are inspiring and so is a constant driver for me as we pursue our common goal. So I'm excited about our prospects for continuing investment of Yield10's mission. We look forward to ongoing developments in the year ahead. Let's now move on to Slide 11 and review some of the product targets from Camelina. Obviously Camelina seed is typically crops to produce oil and protein meal and yield plants that participate directly in the sale of these end products. Oil has historically been used in food is currently considered grass in the US and is approved for some feed in Canada. Residual protein meal is also approved producing some feed applications in both countries. Omega-3 fatty acids from fish oil have been shown to help prevent heart disease and stroke, may help control lupus, eczema, [indiscernible] and protective roles in cancer and other conditions. Camelina oil like plant seed oil is rich in the omega-3 fatty acid DLA and recent clinical studies have shown that Camelina oil improved serum lipid profiles in patient's study published in 2018 and the Journal of Molecular Nutrition and Food Research indicative of heart health benefits. The high content of the omega-3 linolenic acid ELA makes it a preferred oil for use in aquaculture feed as compared to soybean oil. These activities of Camelina makes it an exciting crop for addressing the global macro trends of health and wellness and sustainability, near-term Yield10 is well-positioned to become a leading player in Camelina hooks on producing additional oils without having to be head-to-head for acres with the commodity crops. In the longer-term our vision is to produce natural PHA biomaterials as a third product of processing engineered Camelina seed. PHA biomaterials are natural, microbial, high molecular polyesters and can be processed using standard plastics process equipment and have applications in a wide range of markets, including animal nutrition, wastewater treatment and the replacement of petroleum plastics. In 2019 Yield10 filed a US patent application for new technology, potentially enabling low cost production of PHA biomaterials in the seeds of Camelina. Our longer-term goal is to be able to produce PHA biomaterials from Camelina in the cost range of edible oils, to enable their broad market adoption on a very large scale. As we progress the development of our PHA traits, we plan to focus on animal nutrition and water treatment applications and find partners for the vast tissue [ph] opportunity. We believe Camelina engineered to produce PHA biomaterials will be an attractive cash cover crop for farmers improving farm income and the sustainability of food and feed production by enabling the production of exciting new agricultural products for large markets. Let's go to Slide 12 and let's cover a few financial highlights. Our net operating cash usage was $3.2 million for the fourth quarter and we ended 2019 with $11.1 million in cash, cash equivalents and short-term investments. Our net operating usage of $8.7 million for 2019 was right in line with our guidance range of $8.5 million to $9 million for 2019. For 2020, we anticipate net operating cash usage of $9 million to $9.5 million based on our current plans. We are directing this investment towards generating proof points including field trials, working on collaborations and advancing discovery and development of performance traits. We continue to have note that in our balance sheet in early 2020 we received an additional $1.6 million in capital based on worn exercises. We expect our cash on hand together with expected revenue from our current government grant to support our operation through several technology proof points into the second quarter of 2021. Let's now review the fourth quarter and full year operating results. The company reported a net operating loss from operations of $2.4 million for the fourth quarter of 2019 compared to a net operating loss of $1.9 million for the fourth quarter of 2018. The increase is due from relative expenses related to employee compensation and benefit expense including the company's year-end accrual for 2019 performance policies. Total research grant revenues in the fourth quarter of 2019 were $140,000 versus $135,000 in the fourth quarter of 2018. In the fourth quarter of 2019 research and development expenses were $1.2 million and G&A expenses were $1.4 million. This compares to $1.1 million of research and development expenses $2.9 million of G&A expenses in the fourth quarter of 2018. For the full year 2019 Yield10 reported grant revenues of $806,000, R&D expenses of $4.8 million and G&A expenses of $4.6 million resulting in a net operating loss of $8.6 million. Our net loss includes a $13 million non-cash loss resulting from the valuation of warrants issued in our November offering, partially offset by a $9.5 million non-cash gain for the change in fair value of these warrants at yearend. For more details on our financial results, please refer to the earnings release. Let's now go to Slide 13 to discuss our upcoming milestones, in 2020 we will continue to make progress on the following; preparing for our 2020 field testing program including concluding the permitting process and planting in Q2 further developing the business plant for Camelina platform for specialty products, generating agronomic and yield data for C3003 in Camelina and advising the trait in canola and corn, advising oil boasting traits using crisper genome editing including C3007 and continue testing our triple ended Camelina plants in US field studies before progress of the C4000 series traits, support Bayer forage genetics and simple and the evaluation of our traits crop targets and identify additional high value yield and performance traits, continue to build our intellectual property portfolio and communicate our scientific innovations and technical presentations and papers. With that I would like to turn the call to Lynne for questions.
Lynne Brum: Thanks Oli. Devin can you now pull for questions.
Operator: [Operator instructions] Our first question comes the line of Ben Klieve with National Securities. Please state your question.
Ben Klieve: First I apologize I had to jump for a few minutes so if I am asking anything that you covered in your prepared remarks I am sorry to make you repeat yourself. First question I have on top of the hour, is there any impact to your operations either in your R&D facilities or any expected headaches that you're anticipating now on field trial regarding coronavirus?
Oliver Peoples: We're obviously, we've been paying attention to coronavirus since early January and obviously adjusting strategy plans and priorities going forward with an emphasis on CXD number one and business continuity as the key goals here. So we've been working on this now for several, several weeks and we're making the right plans, we're executing against those plans and our goal is to be executing our field trials as we've stated.
Ben Klieve: And then Kristi I'm hoping you can help me understand the canola field trials a bit better. It sounds to me like you anticipate kind of the big step change in the trial to come in 2021 when you introduce all those new lines but can you help me understand really what the step is going to be from last year to 2020 in these trials? Is there going to be a material difference in the trial compared to last year or are you going to basically just have to replicate last year's trials. I just hope that mother nature cooperates this time.
Kristi Snell: Yes we're firstly doing the trials that we did last year but also importantly we're bringing forward those 15 commercial quality events and the reason these are so important is that they can be passed into basically any commercial germplasm for our partners. It's a much bigger trial.
Oliver Peoples: You notice in our expenditures that you see a CR instead of 8.5 to 9 is 9 to 9.5 is our guidance. Obviously that's reflective of increased yield trials.
Ben Klieve: Okay so I guess maybe I misunderstood in the prepared comments, so those 15 new lines are going to be in field trial in 2020 that's not a -- they're not going to be in the lab in 2020 for a 2021 field trial is that correct?
Kristi Snell: They're going to be in seed box not phase. So basically we may make seed infield trails and then more expensive yield trial the following year.
Ben Klieve: Regarding your partners field trials I know you can't comment on anything specific, but do you have any sense of if those partners were impacted to the same degree you were or were these trials maybe more geographically diverse or further south and as such they were able to get statistically significant data or you guys were just unable to have the function to the weather?
Oliver Peoples: So Ben we know that the whole industry was impacted by this across the board and in fact most people lost most of their field trials. One group that we know in particular had access to some water, but these are sold at 1.5 kilometer pipeline to be able to get it in Saskatchewan. So they were able to execute their trials whereas we had to actually truck in water essentially by tanker. So this was just a really, really grim year for field trials. So there is really not a lot we can say about it but I think the whole entire sector and unlikely these other companies, we actually have essentially for exposure I think because we don't have yet with the American sites. So we can do just two cycles a year.
Ben Klieve: Okay. And then last one for me, when you talk about the cash burn for this year, can you help us kind of understand the cash burn that you're looking at it and in terms of the early stage initiatives that you have within your Camelina pipeline that are really just ramping up versus what investments you're making in kind of the more established initiatives like in C3003. Can you help us kind of characterize really what your focus is on?
Oliver Peoples: Yeah so most of the focus is on actually progressing C3003, C3004 on the oil traits, oil content traits E309 line basically and the new C3007 lines. The work we're doing in the early stage is actually more supported by Department of Energy Grant to Michigan State University where we have Civil. So that's on a much smaller level of activity than driving forward with the performance traits C3003, C3004, C3007 and triple edited oil content.
Ben Klieve: Perfecto. I think that's it for me now. I'll jump back in queue. Thanks for taking my question.
Operator: [Operator instructions] Our next question comes from [indiscernible] Ladenburg. Please state your question.
Unidentified Analyst: I mentioned in the E3 902 trials and you had mentioned that they would be going into the field in 2021. Any idea how long that would take or what the progress milestones would be going forward?
Lynne Brum: Hey Robert, thanks for that question. Kristi or Oli, do you want to take that?
Oliver Peoples: Our expectation is to plant those number of sites basically like you too. We're harvesting them around weather permitting, it's actually called everything by weather permitting. We're harvesting those in the fall and analyzing those around that time. These trials are being carried out in the US because they are genome edited and because the lines that we're using have already been classified as nonregulated by the USDA under the regulatory process. So they're actually something that we're quite excited about particular line E3902 and in fact become our first family of variety. So we're pretty excited about it.
Unidentified Analyst: Yeah that sounded pretty exciting to me too the idea that this will be the first commercial variety. Any idea how long that might take from today until licensing or introduction?
Oliver Peoples: Until introduction part of what we're doing this year is actually also to bulk up to make more seed for plotting many acres next year and I can't give you the exact number but basically the path we're on is essentially discount starts getting it up and make sure that we have sufficiency to really drive our process forward in 2021 and 2022 to the point where it's basically if all going well we'll become a commercial variety.
Operator: There seems to be no further questions at this time. And I would like to turn the call back over to Ms. Lynne Brum for any closing comments.
Lynne Brum: Thanks Devin and I will turn the call back to Oli for his closing remarks.
Oliver Peoples: In summary, we believe the grain platform can be used to address a wide range of traits and a broad area of crops and we currently have approximately 15 traits in the pipeline. Our trait factory enables three distinct revenue opportunities; R&D for service revenues, licensing of our yields and performance traits for using major row crops and product sales based on our Camelina platform for producing edible oils and PHA biomaterials. I would like to personally thank all of you for joining us on the call today and especially our shareholders for your continued support. Like everyone else we're dealing with the challenges of COVID-19 with an emphasis on safety, the business continuity. I particularly want to thank our employees for the diligent efforts at this time on to make everyone at Yield10 for setting us off on track to reach our goals for 2020 and I look forward to providing following updates this year. Have a nice evening everyone.
Operator: This concludes today's teleconferencing. You may now disconnect your lines at this time. Thank you for your participation and have a wonderful day.